Operator: Good morning, ladies and gentlemen and welcome to AIXTRON Q3 2013 Results Conference Call. Please note that today’s call is being recorded. Let me now hand you over to Mr. Guido Pickert, Director of Investor Relations at AIXTRON for opening remarks and introduction.
Guido Pickert : Thank you, operator. Let me start by welcoming all of you into our earlier than previously planned Q3 2013 results of AIXTRON SE. Thank you for attending today’s early call. My name is Guido Pickert, Director of Investor Relations and Corporate Communications at AIXTRON SE. I would like to welcome our President and CEO, Martin Goetzeler, as well as our CFO, Wolfgang Breme. Martin will begin with some general remarks before giving a summary of the quarterly results and an update on the progress being made, implementing our 5-point-program. Wolfgang will as usual give you an update on the operational and financial performance of the business. We have put forward our results call in conjunction with the announcement of a capital increase in the volume of approximately 10% of our current share capital. Please understand that due to the open book-building process we cannot give or go into great details of the offering, beyond to what we have stated in our press release. Anyway, I think it is important to remark that we see exciting growth opportunities ahead of us that requires strong financial foundation, which we would like to create with the offering. Martin and Wolfgang will expand on this further in their part of the speech. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or re-broadcast without expressed permission. Your participation in this call implies your consent to this recording. As with previous results conference calls, I trust that all participants have our results presentation slides, Page 2 of which contains the usual Safe Harbor statement. I will therefore not read it out loud, but would like to point out that it applies throughout the conference call. You may also wish to have a look at our latest IR presentation, which includes as you know additional information on AIXTRON’s markets and its technologies. This call is not being immediately presented via webcast or any other medium. However, we will place an audio file of the recording or a transcript on our website at some point after the call. I would now like to hand you over to Martin Goetzeler, AIXTRON’s President and CEO for opening remarks. Martin?
Martin Goetzeler: Thank you, Guido and thank you all for joining our call. To summarize Q3, this was another quarter of executing the 5-point-program. We made further progress on our operational initiatives. In addition, we reviewed our strategic roadmap which was a basis for the ongoing capital increase we announced yesterday evening. Let me start by reiterating our view which has in no way changed, that there is a long-term growth potential for us in the LED market. We are seeing strong growth in the demand for LEDs in the general lighting area, which we believe will be good for our business going forward. However, despite a slight pickup in orders, orders still remain at low levels. There are two main reasons for this; the first of which is the prudent approach among many of our customers, some of whom have been under margin pressure and therefore have been hesitant to make new investment decisions; to compound matters capacity utilizations among our customers have partially come off a little recently from the very high levels we saw in the last quarter. We are not concerned about it as this is just a normal seasonal affect caused by a drop in the demand for LEDs for backlighting. We believe that this temporary dip will also be compensated by the growing demand for LEDs in general lighting, which will drive capacity utilization levels up once again. While we cannot influence the current market situation, there are things we can influence such as the technical issues that have surrounded some of our product offerings particularly for the Chinese markets. These issues are being diligently worked on in a structured way until they have been resolved completely. This is an activity included in our 5-point-program, for example, focus on our customers and I will return to this later. I also want to go back to one point I said last quarter which is, that there maybe not only one singular inflection point for LEDs in the general lighting market, but instead there maybe multiple different inflection points depending on region, application and customer type. The implication of this for AIXTRON is that the next LED equipment up cycle is likely to be longer than the previous cycle, but perhaps not a boom and bust cycle, with a sharp upturn and a sharp downturn, but rather a smoother more sustainable cycle. Finally before looking briefly at the quarterly numbers, I do want to say that although we’re still unclear when the market, MOCVD market will gain momentum, we are still clear that this will continue to be a measure growth opportunity for AIXTRON. At the same time, we’re gaining traction in the non-LED areas especially for end-markets such as power electronics and memory. Returning to Q3 numbers, there are some improvements to report. Order intake was up 17% on the previous quarter to EUR35.7 million and although still at a lower level, this was the highest order intake figure achieved since Q3 2011. Revenues were slightly up sequentially to EUR46.2 million compared to the EUR45.3 million achieved in Q2 2013. At the same time, we managed to turn operating losses of EUR9.8 million in the previous quarter to EUR2.9 million of operating profit in Q3. But, this improvement was largely driven by an extraordinary impact from exceptionally affects booked in Q3. Without these affects, the underlying EBIT would have been minus EUR9.2 million. The slight quarter-on-quarter improvement from EUR9.8 million was due to our cost reduction programs and occurred in spite of the sales mix with lower final customer acceptances. Our program on reducing operating expenses by 20% is well underway. Compared to September 2012, the positive headcount in Q3 2013 was reduced by the targeted 20%. I would like to add that the positive impact of the exceptional items is partially resulting from actions taken within 5-point-program. Year-to-date, we also can report a positive development in terms of cash conversion since despite the loss situation our free cash flow was not even 1 million negative. The cash position at the end of Q3 amounted to EUR207.5 million only slightly below the 209.5 million as of December 31, 2012. We have seen continuing positive cost and cash impact from our 5-point-program, which I announced to shareholders at our Annual General Meeting on May 23rd. Since I am convinced that this is a key to regaining investor and customer confidence and trust in AIXTRON let me give you an update on our 5-point-program. The first point is focusing on being closer to our customers. To better understand their needs and support them in successfully driving productivity using our tools. We are making good progress with our customers, particularly in China where we have not only strengthened our local presence but also increased onsite customer support with our technical key account managers, as well improved our training and service offerings. We have seen progress in our customer relationship and quality programs based on our efforts in customer focus, service, and R&D, allowing us to reverse some provisions. We have also begun working much more closely with customers to support them in improving their productivity and to align future product growth roadmaps with them. We believe these measures will put us in a better position when orders pickup again. Secondly, we have made considerable progress in using and managing our technology portfolio more effectively. A positive development I see in our efforts reducing our product complexity, one area addressed in earlier calls. We are collaborating closely with our customers to focus on enhancement with the highest benefits, for example for upgrades on existing tools. With this approach we make sure that we create real win-wins for our customers and for us. Recently, we have completed a thorough review of our technology portfolio within our core competency of material deposition, as well as the future opportunities for our technologies. Besides our major market LEDs, we believe that AIXTRON has substantial opportunities also in other existing areas, OLEDs, power electronics and silicon. These are some of the areas we are going to target in terms of significant investments in new products and R&D in the coming quarters. OLED or Organic LED is particularly interesting area and is very complementary to our core LED business particularly in terms of usage. LEDs are very good as point sources of light such as automotive, headlights or spotlights while OLEDs are very good as area light sources or screens. OLEDs are at an early stage of commercialization. With leading brand names already using them for small mobile displays within in their smartphones, but they are for example cost and lifetime challenges with OLEDs. This still limits the penetration rate for large area applications such as TV and lighting to the top-end of the premium segment. Addressing important parts of these challenges, we are already producing equipment for OLED manufacturing. We believe we have an enabling technology in our portfolio which will significantly reduce our customers’ cost of ownership, especially for manufacturing on large substrates which will be key for the manufacturer of, for example TV screens thereby increasing the market potential for this technology. Another area of focus is the power electronics market, which is shifting with demands of increasing levels of reliability and efficiency which can only be met with compound semiconductors. The production of which requires new processes and equipment. This is a clear area of focus and an area where we are already gaining traction. We expect power electronics to be a major growth driver in the coming years, driven by accelerating adoption of hybrid autos, renewable energy, smart grid or power management applications. In memory, we already generate revenue to-date with, our ALD technology and we see significant upside in the future. We will specifically target opportunities by combining our knowhow in complex material deposition with our expertise in addressing the silicon semiconductor industry. It is important to reiterate one of the keys behind the AIXTRON success has and will remain its ability to develop products that enable our customers to commercially manufacture leading edge devices for exciting applications. I am firmly committed to our Company’s strong R&D culture, especially as the development process becomes increasingly better defined and more focused than ever before and I see the improvement on the spot. The third point is that we are systematically optimizing our processes and project flows. Regarding the newly introduced product development process, we’re making good progress. All new projects follow exactly this logic and give us more confidence in the execution of these projects. Defined quality gates are approved at Board level. One of the other major areas of focus has been supply chain management where we have recently kicked off a major improvement project targeting better forecasting quality, shorter lead times for components, a reduction in inventory levels needed, as well as a closer collaboration with our suppliers on both the procurement and product development size. We need to avoid situations like in 2011 where all these risks came together, in a kind of risk stacking. We have also started this benchmarking which is enabling us to take an outside in view of the Company, as well as enabling us to learn from the best practice companies. The first point is our reorientation around added value financial goals. Let me quickly recap the 4Q measurements by which we will measure the entire organization; one, sales; two, operating results; three, free cash flow; four, return on capital employed above the cost of capital over an entire cycle. The key focus currently remains cash flow, which we continue to monitor on a proactive basis leading to a comparatively strong level of 207.5 million in cash and cash equivalents, as a result of the stringent approval process of major investments and expenditures being approved by the AIXTRON Executive Board. At this point I would like to expand on our capital increase, which we announced yesterday evening. We decided on this capital increase based on our strategic roadmap which we define during our strategy review. Our goal is to support R&D and investments to further leverage on the Company's technological leadership and invest in additional growth areas for the Company. Including in projects related to technologies to manufacture power electronics, organic LEDs and applications for the silicon semiconductor industry. In addition, the capital increase will strengthen the financial agility of AIXTRON by reinforcing its balance sheet and cash position. This contribution will give us the necessary flexibility in optimizing the value of our business segments. Back to our financial targets, another focus area is cost control. It is important to note that these cost savings paired with some process improvements enable us to improve our efficiencies without compromising our key project and processes. This also allows us to execute when the market picks up. We believe we will be better positioned with solid next generation equipment more customer-oriented R&D and improved customer service. I also want to pick up on profitability. It is our clear goal to return to profitability as quickly as possible. But with the prevailing market environment it is very difficult to give an exact timeframe. What I can say is that we're doing all we can to enhance the value of our portfolio. Finally point five, we’re working to strengthen AIXTRON's corporate culture to lift employees’ individual responsibility and promote clear communication amongst all our employees. Strengthening corporate culture is an ongoing job but we have already made significant steps including improving our communication and decision making processes within AIXTRON. We also performed an independent assessment of our management team. We recognize the need to systematically enhance leadership and financial skills within our organization and this is an area we’re currently putting considerable focus into. At this point let me now hand you over to Wolfgang for a more detailed overview of the Q3 2013 numbers. Wolfgang?
Wolfgang Breme: Thank you, Martin and hello to everyone on the call. Let me start with the revenues and order. On a quarterly basis revenue for Q3 2013 came in at 46.2 million which was slightly ahead of 45.3 million we generated in the previous quarter, but 26% lower than the 62.2 million we achieved in the same period last year. Revenues for the first nine months of 2013 were 131.8 and 12% lower than the same period last year when we generated revenues of 150.3 million. Equipment revenues in the first nine months of the year were 98.9 million, representing 75% of total revenues with the remaining 25% coming from spares and service. This is similar to the same period last year when the breakdown was 74% equipment and 26% services. The largest market within equipment remains LED with the next biggest market being equipment for the production of DRAM memory devices. On a regional basis 78% of total revenues in the first nine months of the year were generated by sales to customers in Asia, with Europe representing 13%, and the United States 8%. Orders on a quarterly basis picked up from 30.5 million in Q2 to 35.7 million in Q3. In the first nine months of 2013 we are broadly unchanged year-on-year and at 96.1 million only marginally above 96 million we generated in the first nine months of last year. Our order backlog has increased from 71.6 million in Q2 2013 to 72.8 million by the end of Q3. On the earnings side, the net result for the first nine months of 2013 came in at a loss of 86.2 million, which is better than the 102.2 million in loss we recorded during the first nine months of 2012. This loses are a clear reflection of the continued weakness in the LED market, as well as the restructuring process we have been engaged including unusual items that had an effect on our results. In Q3 2013 we generated a positive net result of 1.6 million. This was a substantial improvement over the previous quarter where we made a loss of 11.8 million and EUR78.3 million of net loss we had in Q3 last year. However, this Q3 profit was a result of exceptional items booked in the quarter which I will now explain. Gross profit in Q3 amounted to EUR10.6 million which represents a 23% gross margin as opposed to 27% in the previous quarter and a negative gross margin in Q3 last year. In the third quarter 2013 the accrued insurance compensation following a fire in the third-party warehouse amounting to 15 million was reallocated from cost of sales into other operating income which led to a reduction of gross profit in the quarter. Following the consequent utilization of components in excess stock, slightly increased forecast of tools to be sold, as well as reduced obligations on purchase agreements, a reduction was made in provision. This has a positive impact of 13.1 million on gross profit offsetting parts of the reallocated insurance compensation. The so called clean gross margin without these affects would have been 27%. Operating cost for the first nine months of the year at 58.3 million are nearly 39% down on the same period last year when our operating cost totaled 95.7%. In Q3 2013, operating cost totaled 7.7 million compared to 22 million in the previous quarter. Much of this improvement is down to the previously mentioned reallocation of the expected insurance compensation to other operating income of the third quarter. As a positive affect from our cost saving initiatives reduced selling, general and administrative expensed to nine months 2013 to EUR34.7 million down from 39.6 million in nine months of 2012. R&D cost came down to 41.4 million from 51.8 million in the nine months of 2012. To reiterate what Martin Goetzeler said before, we remain firmly committed to our Company’s strong R&D culture and investments into attractive growth opportunities. At the same time, we continue to further improve our process efficiency in R&D and other areas. Taxes on income in the first nine months amounted to 3.7 million despite the net loss of 86.2 million recorded into same period, this tax obligations are due to our subsidiaries generating profits and therefore having to pay taxes locally. In the third quarter the described exceptional items contributed to our positive net result of EUR1.6 million. Apart from these affects are just described to make substantial progress on the implementation of our 5-point-program. I am happy to also say that we are on-track to reduce annual operating expenses by 20% which will enable us to regain profitability more quickly. Going forward, we will continue to optimize our processes and structures without losing focus on our clients for future growth opportunities. Let’s now move to our balance sheet slide. Let me start with one of our major focuses, which is of course cash management and cash. We finished Q3 with 207 million f cash and cash equivalents, down from 215.9 million at the end of Q2 and 209.5 million at the end of the Q3 of last year. Over the first nine months we generated a low operating cash inflow of 4.9 million which largely reflects better working capital management particularly on the inventory side. Inventory management have been one of the core parts of our 5-point-program and inventories have fallen from EUR126 million at the start of the year to 67.8 million at the end of September. Finally, despite the tough operating environment we remain well positioned with an increase in the robust and flexible operating business, as well as a solid balance sheet, where we operate on an equity level currently of 78%. Let me come at this point to some details of our share offering of yesterday. We plan to use the authorized share capital already approved by our shareholders without subscription right of existing shareholders. We will issue up to 10.223113 million shares which represent approximately 10% of our share capital prior to the increase. The shares are solely offered to qualified institutional investors. To summarize we intend to use the proceeds from this capital increase to support research and development and investments to further leverage on the Company’s technological leadership and selectively invest in additional growth areas for the company including in projects related to technologies to manufacture power electronics, organic LEDs, and applications for the silicon semiconductor industry. Additionally this capital increase will further strengthen the financial flexibility of AIXTRON by reinforcing its balance sheet and cash position. With that, I’ll pass you back to Martin.
Martin Goetzeler: Thank you, Wolfgang. I ask all of you for your understanding that due to legal restrictions during the book building period we are prohibited from discussing this transaction in more detail on this conference call. I would like to now talk about the near-term outlook of AIXTRON. As I said earlier we saw a pickup in autos in Q3, but these levels are still too low for us to say that the next LED equipment cycle has begun. And as I mentioned earlier, we believe that the cycle will most likely not be as steep or subtle as the last one, but instead we expect that it will be longer and smoother than previous cycles. Our view is that this will eventually translate into an incremental need for a significant number of MOCVD tools the size of which is still not clear. In any case we believe we are well positioned for this next market up cycle with our increased customer focus, improved technology and strong local footprint. With regards to financial guidance as was the case last quarter, we are unable at this time to give you a detailed revenue and earnings guidance. I can tell you though that revenues in the fourth quarter are likely to be slightly better than in the third quarter. As in the previous quarter poor order visibility particularly from the LED industry remains issue. On the positive side we are continuing to see momentum building for our MOCVD solutions, for the development of power electronics, as well as for our ALD solutions for memory manufacturing. Let me remind you that AIXTRON continues to be supported by a strong balance sheet with no debt and EUR207.5 million in cash and cash equivalents at the end of Q3. Finally, also we are operating in the challenging market environment. I think that the company is becoming more flexible and resilient than it was before and is well positioned for future with an improving set of solutions for our customers in current market, as well as a pipeline of new solutions for up and coming markets. Our 5-point-program stands for confidence and trust in the Company, in its technologies, and in its employees, as well as a responsibility which we all must embrace. In this way we are creating the precondition needed for growth and sustainable business success and laying the foundation for creating value in the coming years. And with that, I will pass it back to Guido before we take some questions.
Guido Pickert : Thank you, Martin and Wolfgang. Before we take questions, could I ask everyone to limit your questions to a maximum of two each time. This will allow everyone a chance to have their questions answered. Thank you. Operator we will now take the questions.
Operator: Thank you, gentlemen. We will now start with the Q&A session. (Operator Instructions) The first question comes from Wahi Sumant from Redburn. Please go ahead with your question.
Sumant Wahi : I guess the first question, I understand that you won't be able to talk a lot about your capital raising essentially, but just trying to look at your cash burn at the moment, and the cash you have on your balance sheet. It did seem to us that you had enough to enter these specific end-markets of power electronics and as well as silicon side, as you have mentioned earlier, that you're investing about 40% of your R&D over there, already. So, I guess my question is that is there anything additional in these end-markets which you have identified, which you feel required extra cash investment at this point in time? And I have a quick follow-up on the provisioning side as a second question, which is essentially -- could you give us a bit more detail on what provisions you have reversed in this particular quarter, as in from which end-market or which product? Thanks.
 Redburn Partners: I guess the first question, I understand that you won't be able to talk a lot about your capital raising essentially, but just trying to look at your cash burn at the moment, and the cash you have on your balance sheet. It did seem to us that you had enough to enter these specific end-markets of power electronics and as well as silicon side, as you have mentioned earlier, that you're investing about 40% of your R&D over there, already. So, I guess my question is that is there anything additional in these end-markets which you have identified, which you feel required extra cash investment at this point in time? And I have a quick follow-up on the provisioning side as a second question, which is essentially -- could you give us a bit more detail on what provisions you have reversed in this particular quarter, as in from which end-market or which product? Thanks.
Martin Goetzeler: And I will start and Wolfgang will answer the question on the provision. I would like to again start a little bit, maybe expand a little bit more on this capital increase by repeating what I said as well. For me it is important that you see that this is the result of a process. It is basically, the first couple of months we really focused on the operational issues and over the last couple of months we did our strategic review. And doing this clearly, we looked into all our technologies, we did a thorough technology review, and we came really to the decision that we want to create further financial flexibility to act on all these growth areas. And this among others includes, for example the OLED deposition technology. Clearly here targeting the large display market for TV, the power electronics and you all I think also are well aware of the challenges coming into this market with for example the electronic vehicles, with the renewable energy, so there are good opportunities for MOCVD and basically moving to MOCVD a way to compound away from silicon. And last but not least, we also see opportunities in the silicon semiconductor market, with the deposition opportunities which even go beyond the memory space. So we will build on all these opportunities and also we want to be a strong partner to our customers and therefore we believe it is absolutely advantageous for us to have a strong financial position, and in addition a solid cash-cushion going forward. And that’s why we would like to spend this cash into these new technology fields.
Sumant Wahi - Redburn Partners: So, very quickly on that, does your strategic review suggest that you have a particular cash ratio which you have to maintain on your balance sheet?
Martin Goetzeler: I would say if you look at the industry, also in overall you see that basically, we are maybe not trailing but we’re clearly not at the forefront of the cash position and therefore we believe also to be in competition with these other players, to be a strong partner for our customers. This should be, this clearly will have us also moving forward. Now, the question on the provision. Coming back to let’s say the rebooking we have done, first of all 15 million is the expected insurance claim, which was reclassified from the cost of sales into other operating income. That’s one side but that’s just reclassification of the expected payment from the insurance and we are very confident that we will get that. And secondly we had to release provision, this is solely linked to valuation of inventory and of relationships with our suppliers. So what we are doing our valuating our inventory by using the model of future demand and of course this is, at this point in time not so easy to focus, but we had to do in light of a slightly better forecast of systems for the MOCVD applications, we had to reverse, we had to reverse certain provision in that field. It’s not massive but we had to reserve. This is all in the $30.1 million. The second effect we had in there is the same applied for raw materials. We try to make very efficient use of the excess material we have on stock and analyze and also used partly equipment we had in work in progress to sell it to our customers and this also led to the fact that we had to release provision in that space. And the third let’s say operational success we had, we still had open obligations towards our suppliers and we managed to reduce the risks we have here with open purchase orders down. So this is the third effect we had here in the release of provisions, but this was all operational topics we had to do in light of the activities within the five point program we have raised and I would call this effects which are really linked to operational performance.
Sumant Wahi - Redburn Partners: Okay. Do you mind giving the split in value terms of what it was for the slightly better forecast and the reversal over there, versus the work in progress?
Martin Goetzeler: Well, I am not prepared to do this at this point because I think not really material. In broader terms the majority comes out of inventory.
Operator: The next question comes from Uwe Schupp from Deutsche Bank. Please go ahead with your question.
Uwe Schupp - Deutsche Bank: Obviously, firstly, again, if I may, on the timing of the capital increase and maybe you’re thinking a bit behind that? So, one interpretation obviously would be that, I mean you simply wish to be more opportunistic, as you may be seeing opportunities out there, but you could also see it a bit more negatively, that you are opportunistic in a sense that the MOCVD market is recovering maybe later than you initially thought. Obviously, your latest remark obviously speaks a bit against that, but, again, your thinking behind, overall, would be helpful, as well. And then secondly, in the press release you clearly indicated you desire, maybe a bit between the lines, but it is clearly there, to look at smaller bolt-on targets as well, that would potentially support you in, potentially the post-LED era. So, I mean, just a bit more meat to the bone in terms of how close we may be to a deal? And then, also, if you can, could you rank OLED, power semis, and silicon, if you, I don't know, hypothetically could choose between the three technologies at the same time and say at a similar valuation? I mean, if that is possible.
Martin Goetzeler: Thank you for your questions. And first on the timing, I try to explain what we did over last couple of months since I joined the company and I mentioned also that we have the strategic review and as basically the outcome of this review was our decision to move on this capital increase. So it’s really the result of a process and it’s not and I think to do with anything else. And therefore we went with the current timing. Regarding the investments, I’m not sure where you’ve got this information. What we said is clearly we are having several investments to do. It’s clearly in R&D, it’s in CapEx, its maybe in knowhow. And in terms of acquisitions, I can only mention that basically this is part of our regular cross off business and we have to clearly continuously monitor the market and build basically on opportunities in all our key segments and that’s is something what we do and there is currently nothing we can talk about and which is mature to talk about. So if you ask us what is the different ranking of these technologies, I think they are all related to our core competency and therefore they are key parts of our portfolio and we want to be successful and have major market shares in these areas.
Wolfgang Breme: Maybe Uwe, just one comment from my side. If you consider our product portfolio, I believe it’s important to mention if we talk about our future technology portfolio that we may move from let’s say smaller ticket items, wafer based systems to larger area substrate systems which require much higher financing than we have seen it in the past, because it’s always important to mention if we think about our future activities, it’s because the large area display technology. Those products had much higher ticket items than we have seen before and also this makes it necessary to strengthen the balance sheet, if we are successful in that area which we expect.
Operator: The next question comes from Menon Janardan from Liberum Capital. Please go ahead with your question.
Menon Janardan - Liberum Capital: Two questions. One is on market share in your MOCVD tools to the LED industry; as you're aware, your market share has decreased quite a bit in the last few years, both in China and there are some signs it could be outside China as well. I was just wondering in the last six months following your implementation of the 5 Point Program and your increased interactions with customers, have you seen any evidence that that deterioration has either stopped or is showing any signs of reversal? And if so can you share any detail with us on that? My second question is just on the market opportunity in three areas, power electronics, OLED, and silicon; can you give us any kind of quantification as to how big these markets are and I know you've said this in previous calls but once again since you've talked about it much more today, when we can start expecting to see material revenue from power semiconductors, OLED, and silicon? I understand silicon is already there but just if you could quantify that a bit more, that would be great.
Martin Goetzeler: First of all I think I mentioned that already couple of times that we have this launch in China which really gave us some headaches because we have to introduce a product earlier than we thought into the market and that created some hiccups and as we address them in the 5 Point Program over the last couple of months, it’s clear that these products and the product quality is basically improving significantly and also the trust of the customers is coming back and this I think is also an important topic. I also mentioned that some of the activities are R&D related. So they take not a couple of weeks but unfortunately couple of months. So with some of the topics we are still working on, and I also mentioned that in my speech but I think also in general by saying that there was an increase trust coming back now, I think we're here on a good track. Also not everything goes in months in this case but maybe more in quarters. Regarding your second question, power electronic, OLED and silicon, as I already mentioned silicon and you already commented as well. Silicon clearly is an area which already took off and we have already made sales in this area and continue to make sales and it’s more and more contributing to our portfolio, and this is clearly, as the ALD market is a significant market, also for us a key focus area. And from the timing for the power electronic, the sales we do today, all of them or most of them -- I would say all of them right now are actually in the field of R&D. So companies try to start to qualify their devices on these tools and then go into production. So we are still in the R&D space and the production space will kick in within the next couple of years. And OLED as you know, a couple of applications already in place. It was the smaller generations for example for mobile devices. Here we are clearly targeting for the gen A, than the larger generations and here we see also within the next couple of years then the initial sales kicking in for our technology. All these markets have a significant size, but it's still let's say the calculations differ very much. So at this point in time I would rather refer to analysis you see from other institutes and we can maybe talk about this a little bit in more detail and referring also to these studies in our next call. But they are all close to 1 billion or over 1 billion clearly as a market size. In certain areas it was 2 billion but I would like to refer right now from retail loans.
Janardan Menon - Liberum Capital: When you say 1 billion that is the market size for equipment?
Martin Goetzeler: For equipment, yes. I’m talking about our target market.
Operator: The next question comes from Harald Schnitzer, DZ Bank. Please go ahead with your question.
Harald Schnitzer - DZ Bank: I've got a question on the capital increase, as well. So, this strategic review you have been talking about half a year ago and the timing seems to be quite unlucky. What made this change of mind during the last six months? And secondly, on pricing in the LED machines, could you give us an update? How is pricing developing? Thank you.
Martin Goetzeler: Starting with your second question, we agreed to substitute situation and the pricing is still not really improving. What I mentioned I think last time, I think it's very important to reiterate, I think there are now the new tools in the pipeline and we really believe that these are new tool with the higher productivity and higher throughput we can offer. Also the prices will go back to levels we have seen before. Your first question, I think I cannot talk about the past but I can only say what we did over the last couple of months and we believe that this is a good step in order strengthen the company in terms of driving our technological leadership and to strengthen our balance sheet and it's basically the outcome of this process and we thought this is for us here the right point and time to.
Operator: Next question comes from Andrew Humphrey from Morgan Stanley.
Andrew Humphrey - Morgan Stanley: Really, I wanted to ask about the market. You have been indicating that you're expecting a much more slow and gradual ramp to the LED cycle this time round. I suspect that's not a surprise, given the strength of demand and unsustainability of that last turnaround. But I wanted to ask if there were any specific developments that you're seeing with regard to production technology, and the productivity that your customers are getting out of tools that would lead you to conclude that demand for equipment will be slower this time 'round. We've seen Cree talking about over-capacity. A lot of the newer products that are coming out, priced at lower levels, seem to be manufactured from productivity gains, and that could be a reason for lower investments this time 'round. So, I guess just a kind of structural view on how your customers are doing in terms of productivity, and I have a follow-up.
Martin Goetzeler: Clearly, we have a model of how we calculate the next future expectations for the tools. It’s clear and this is not new to our model that we consider all the yield and productivity improvements of our customers. We also consider improvements with the new tools in general. So that it’s actually not the driver. The driver clearly is that we have, with the LED in lighting penetration and we see that basically since it’s not one application coming, basically it was in the couple of quarters but having several applications from residential street lighting, so office and industrial lighting and others more that these all have not at once but you have different tipping points because of the different competing traditional technologies and also because of different for example incentive programs, different regional preferences and also because of many different players also shaping these markets. So, we see several and many, many tipping points and that’s the reason why we see maybe not as deep. We see a cycle and it will be longer and that’s good news but it will not be as sharp as we have seen it maybe in the TV cycle.
Andrew Humphrey – Morgan Stanley : Maybe just to follow up, I was a little surprised in the press release on the capital increase, not to see any specific investments that you're looking to make on the LED side. Do you think there are technological changes that you can make there that would lead your customers to make investments?
Wolfgang Breme: Andrew I think we’ll probably have to say we are not going in full detail of course of the use of proceeds and everything during this period but maybe just little to remind everybody that especially for LEDs we have spent significant CapEx over the last years, especially for instance investing into our new R&D facility. So, there has been a lot of upfront investment already done. So, as we said in our press release, we are targeting now power electronic, organic LEDs and also silicon semiconductors for this next round of investment in the company but I fear that’s all we can say at the moment.
Operator: The next question comes from Youssef Essaegh from Barclays. Please go ahead with your question.
Youssef Essaegh – Barclays : I had two questions. The first one is, regarding the insurance. I'm not sure 100% to understand what's going on there and I thought that was going to be just a one time. Can you please re-explain how many more of these will you recognize for how long, basically, we will see these into the income statement? And my second question is regarding the capital increase and everything you just said, actually, on the call regarding the use of cash. So, it's just that the cash burn has happened, but it has slowed, and it will remain slow, obviously, because you now have a much lower OpEx base and the revenue have troughed. So, why do you need to add so much? Are you planning an imminent increase in the operating expense to invest more into all these R&D projects you're talking about?
Martin Goetzeler: So let me start with the 15 million insurance claim. So what we have done or had to do in the quarter was to reclassify the entry. If you remember, this fire ended just at the end of Q2 and we first of all did an assessment of what we can get from the insurance and short booked this under cost of sales. Now that things become clearer, we have reclassified this in other operating income. That's the expectation we have which we can get from the insurance back. Of course such an insurance claim of that size takes some time for settlement but we’re very confident that we'll get this amount which we have accrued for. So in the quarter it's only a reclassification from cost of sales into other operating income. This is what we have done.
Youssef Essaegh - Barclays: And what is the total amount.
Martin Goetzeler: 15 million, 1-5.
Youssef Essaegh - Barclays: That's just this quarter, but the total amount that you're going to get over time.
Martin Goetzeler: That's what we expect, 15 million.
Youssef Essaegh - Barclays: So, it's not going to come back in 4Q and forward, right?
Martin Goetzeler: Of course, we will have to wait for a final settlement, which will hopefully come sooner rather than later, but we haven’t settled finally with the insurance but we're confident that we can get the 15 million. That's what we've entried prudently so to say. The second you came back to the capital increase but I'm afraid we can't give you more details than we have already pointed out during the call, because we're still in the book building phase.
Wolfgang Breme: Maybe I can explain something different to give you also an idea why cash sometimes is very important for future technology. Let’s take the silicon. In the silicon area for example you have to develop a new product, a new tool. Then you're going to have a qualification in the R&D of the customer and then you go through a qualification in production with the customer and then you will start to have the first step. So there is an upfront time line where you need upfront expenses and cash in order to develop this market and that's a little bit what we want to say when we talk about these new fields.
Youssef Essaegh - Barclays: Sure, I understand. I was just asking, basically about the timing of this, because it's a fairly big size. So are we going to have more and more of these expenses coming soon in 2014, for instance?
Martin Goetzeler: I mentioned already I think Uwe Schupp asked this question, what kind of investments we will do. I mentioned R&D. I may have not mentioned Cap Ex. I mentioned maybe know how. So we expect the cost to come on the other side. We also expect further savings out of our process improvement. So the exact impact then is clearly difficult to provide in our call.
Guido Pickert: With the timing restrictions I am afraid we have time for one more question, I am sorry to interrupt you. We just have one more caller, and then after that we have to go into other obligation, sorry for that. We will get back to all of you to clarify questions if needed. So please one more question from another caller.
Operator: The next question comes from David Mulholland from UBS. Please go ahead with your question.
David Mulholland - UBS: Just one that did stick out to me in the release, which is that, of all the investments going forward, it doesn't seem like you're taking any incremental investment towards the graphene or carbon nanotube opportunity. I just wondered, is that just that it's a small benefit within this, or just too far off because certainly there's quite a lot going on around grapheme, with new releases coming out constantly.
Martin Goetzeler: I think I mentioned that we went through our strategic review and carbon nanotube and graphene was clearly an important part of this review. We didn't mention it here because clearly it has a longer time period. So we think that it really, today actually, we sell I think I mentioned that already about one tool per month but it's also R&D. So we expect that this market will not kick in, in the short-term and that's why we didn't mention it in this announcement.
Guido Pickert: Thank you everyone for attending the call, the early call. Unfortunately we have to close it now and as I said we will get back to all of you who haven't had a chance to ask their question and looking forward to talk to you next. Thank you very much.